Operator: Good day, and welcome to the Evolution Petroleum Corporation Third Quarter Fiscal 2015 Earnings Release Conference Call and Webcast. All participants will be in listen only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Mr. David Joe, Vice President and Controller. Please go ahead.
David Joe: Good morning, and thank you for listening to Evolution Petroleum's conference call to discuss operating and financial results for its third fiscal quarter ended March 31, 2015. On this call is Bob Herlin, our Chairman and CEO, Randy Keys, our President and CFO and Daryl Mazzanti, our Senior Vice President of Operations. Before we begin, let us cover the basics. If you would like to be on the company's e-mail distribution list to receive future news releases, please see the contact information on our news release. If you wish to listen to a replay of today's call, it will be available shortly by going to the company's website at www.evolutionpetroleum.com or via recorded telephone replay until May 14, 2015. The necessary information can be found in the earnings release. Please note that any statements and information provided today are time-sensitive and may not be accurate at a later date. Our discussion today may contain forward-looking statements that are based on management's beliefs and assumptions that are based on currently available information. We can give no assurance that such forward-looking statements will prove to be correct as they are subject to risks and uncertainties that are listed and described in our filings with the SEC. Actual results may differ materially from those expected. Our discussion also may include discussions of other categories of reserves besides proved reserves, such as probable, possible or potential reserves or recovery. Such estimates of non-proved reserves are more speculative than proved reserves. Since detailed numbers are readily available to everyone in yesterday’s news release, this call will focus on key overall results, operations and capital plans for fiscal '15 and '16. We're pleased to report that gross production at Delhi field increased over 5% from the prior quarter to over 6200 barrels of oil per day. Net production was 1640 barrels of oil per day, a 38% increase from the prior quarter. As you all know, we continue to live in a low commodity price environment which had significantly impacted all in these companies. The average net realized price at Delhi decreased 32% quarter over quarter to $48. The amount of price received for Delhi production is based on the Louisiana Light Sweet index and its interest to be priced at a premium of West Texas Intermediate. Still we continue to generate value for the company for a long time. In the current quarter ended, Delhi field margin was $4.1 million based on revenues of $7 million less operating costs of $2.9 million. Of this $2.9 million, about 55% or $1.6 million is directly related to CO2 purchases and CO2 transportation expense. To reiterate, our contracts [indiscernible] [Technical Difficulty]
Operator: Excuse me, this is the operator. I would like to re-establish the speaker line. May I re-establish the speaker line? Can we pause this for a second?
David Joe: Sure.
Operator: Thank you. [Technical Difficulty]
Operator: Pardon me, I have rejoined David Joe.
David Joe: Hello everybody. Sorry for the disruption. We had to drop call. So I will start back on, on my comments. We're pleased to report that the gross production at Delhi field has increased over 5% from the prior quarter to over 6,200 barrels of oil per day. Net production to us is 1,640 barrels of oil per day, a 38% increase from the prior quarter. As we all know, we continue to live in a low commodity price environment which has negatively impacted all E&P companies. The average net realized price at Delhi decreased 32% quarter over quarter to approximately $48. The amount of price received at Delhi production is based on the Louisiana Light Sweet index which continues to be priced at a premium to West Texas Intermediate. The Delhi field will continue to generate value for the company for a long time. In the current quarter ended, the Delhi field margin was $4.1 million based on revenues of $7 million less OpEx of $2.9 million. Of that OpEx, $1.6 million or 55% is directly related to CO2 purchases and CO2 transportation expenses. To reiterate, our contracts with the operators specifies an agreed cost for purchased CO2 equal to 1% of the price of price sold as determined at each month plus a fixed transportation cost of $0.20 an MCF. Accordingly, if oil prices remain low, at least a significant portion of the Delhi operating expenses will correspondingly be low as well. For the quarter ended March 31, 2015 Delhi production lifting costs decreased 23% from approximately $26 to $20 per BOE. On an average BOE basis, the CO2 costs were down 29% from $15 a BOE to $11 a BOE, primarily due to lower oil prices offset by increased production volumes in the quarter. For the quarter ended March 31, depletion expense increased significantly to $1.1 million due to higher amortization of our oil and gas full cost pool along with increased volumes at Delhi and a DD&A rate per BOE of $7.43 compared to $6.34. Overall G&A expenses have decreased 9% in the current quarter despite material litigation expenses in the quarter. In closing, at March 31, 2015 we continued to maintain a healthy balance sheet with over $20 million in cash, a working capital balance of over $18 million and a $5 million of availability on a revolving unsecured credit line. The company remains debt free. We believe that the current liquidity, combined with expected operating cash flows, will be more than sufficient to fund the company's remaining capital budgets for ‘15 and fiscal 2016. I'm now going to turn the call over to Randy Keys, President and CFO.
Randy Keys : Thank you, David. I want to focus on the next major catalyst for growth for the company. The most important near-term growth catalyst is the Delhi gas plant which is expected to be online in the middle of 2016. Based on current oil prices and the operators and our assumptions about plant liquid recoveries and performance, we would expect to see an increase in net cash flow of approximately $6 million to $8 million on an annual basis with potential upside above that amount, both from price and from performance. If we achieve this, this would represent an increase in our overall cash flow once again on these current price levels of 30% to 50% over the run rate that we currently have. So it's a very significant short-term catalyst for growth for the company. As we look at Evolution, I think we've done a good job of communicating that the Delhi field is a very long-lived asset, very slow decline and in fact, has short-term increases in production over the next few years as we get the gas plant online and we expand the flood to the eastern part of the field. However what we may not have fully described to the market is that the majority of the development capital required to continue the expansion of the flood has already been spent. The infrastructure is already in place and the infrastructure -- the incremental capital required to expand the flood is relatively small to grow our production. To put this in perspective, there has been over $500 million invested in this field in the CO2 flood of which approximately $130 million is to our benefit or net to our interest and by comparison, our projections show that we only require about $30 million of incremental capital to complete the development of the eastern part of the field. So this is a relatively modest amount of investment to continue the growth and realize a substantial increase in production in the field over the next – for several years. And our situation in this regard is very different than many of our peers who will require a substantial amount of capital just to maintain their production much less increased production. We appear to be seeing the rollover of aggregate production for many of the shale plays as the existing wells decline and fewer wells are drilled to replace those. So we think we’re in a very enviable position to have built-in production growth over the next several years without significant capital expenditures in the big picture. We've also seen some recent positive developments on the GARP front with the execution of three master service agreements with large industry players. One of these is a major integrated oil company and the other two are very large cap independents. We have signed purchase order with one of these companies and we are in the approval process for initial projects with the other two. And importantly, these contracts will allow us to expand the GARP technology into three new basins: the Permian basin, the Eagle Ford shale and the Barnett Shale whereas all of our previous GARP installations have primarily been focused in the Austin Chalk areas of Central Texas. With our strong financial position and debt-free balance sheet, we are well-positioned to weather this current storm and even prosper in this down cycle of the industry. I am now going to turn it over to Bob Herlin, our Chairman and CEO.
Robert Herlin: Thanks, Randy and thanks to everyone for joining us this morning. I would like to reiterate a couple points. First, the Delhi field gross production is improving, were up over 5% last quarter. So we’ve definitely turned the corner on that 2013 event, and we should be seeing production increased through really the balance of this decade, and through really a pretty much program and development. I think that -- and Randy is correct that we probably have not done a good job of explaining to the market that how much of our development there has already been funded. If you look at just our proved reserves alone, of the undeveloped portion remaining will be added at a cost of not much more than $8 per BOE of reserves. If you look at on a 2P basis, that number drops further, it’s really only $7 per BOE of reserves that will be added going forward. And our possible reserves – it’s hard to say give a lot of value to possible reserves in the market but all of our possible reserves will be added without any CapEx at all. So we really are in much better situation than most of our peers in terms of the cost of adding reserves and production going forward. Obviously it’s some very big step for us on the artificial lift business to get these MSAs signed, that’s a major hurdle to overcome and we’re excited about that opportunity. Overall I think that the company is really well positioned to take advantage of the current industry cycle. Our conservative financial posture over the prior years and that’s something I think we have been known for has really been driven in large part by the fact that we’ve had very high commodity prices. If you will add, if you want to buy low and sell high, not buy high and sell low. So we are now in the point where – we’re in position to be a little more aggressive in what we do with the company. Keep in mind that our first and foremost focus is going to be on how to create value for shareholders and how to support and grow our dividends to return cash to shareholders. So we are still very bullish, very optimistic about growing EPM value and the prospects for our future. And with that, we’ll turn it back for questions.
Operator: [Operator Instructions] There appears to be no questions at this time. I would like to turn the conference back over to Mr. Bob Herlin for any closing remarks.
Robert Herlin: Again, thank you everyone for joining us. I apologize for technical difficulty. Feel free to call us with any questions you may want to follow up with.
Operator: I am sorry, someone just popped in. Would you like to take a question?
Robert Herlin: Sure.
Operator: The question comes from Jim Collins, PG LLC.
Jim Collins : I just want to ask you about what you’re seeing out there as far as strategic opportunities. I thought you mentioned in your presentations and I wondered how that lies in terms of your priority list, acquiring the fields that might be pretty developed producing properties?
Robert Herlin: Sure. The number thing to say is that we don’t have to do anything. We only will do something on an opportunistic basis. Now that being said, we have some very strict guidelines for the kind of things that we are thinking about and considering. It’s got to be accretive in cash flow and earnings and value. It has to have some – bring some diversity in cash flow to us. It has to be something that brings a lot of upside to the table to give us – maybe our growth story to give a little bit more diversity. And last but certainly not least, it has to be supportive of our policy of giving back cash to shareholders in the future, which means not just supporting our current dividends but to grow that dividend over time. So all that being said, probably the best – our assets that probably are somewhat similar in profile in terms of like we already have, long-lived reserves. So it’s a pretty narrow set of guidelines and requirements but we are actually seeing some opportunities that may fit in to those criteria. I don’t want to [multiple speakers] – I mean we are still looking and it’s got to be the right kind of deal for the right price, the right opportunity and frankly, it’s got to bring in an operating team with it, that can – has a demonstrated track record of doing this kind of development, that they’ve drilled lots of these wells or whatever. So we’re going to be sticking with areas that we already know something about, somewhere in the reasonable oil patch.
Randy Keys: Jim, I think I would add that, we’ve seen very low activity in the last six months on the M&A front and for the industry as a whole. And there is a perception that bid-ask spreads are still fairly wide. So we are in the early stages I would say of evaluating our potential options. We have a very well defined set of criteria but we are – I would say we are just keeping our eyes open. It’s probably the best way to put.
Jim Collins : And just a quick one on GARP. And I follow all the service companies, and master service agreements are crucial to what they do. So you are signing GARP customers under MSA, how does that work for a particular producer in terms of – does that give you a number of wells or if it’s still on a well by well basis. I am just wondering if that’s necessarily mean, they do get more volume for customer?
Randy Keys: Well, it puts us in a position to do – quite frankly a limited amount of business but in each of these cases, we are generally talking about either one or a very small number of initial test wells that we have identified. We are in the process of moving forward. These are not just setting up MSAs for the heck of it. These are specific projects but they are not – at this time there’re going to be initial test wells with evaluation and then we would hope that they would expand dramatically based on the success of those initial wells.
Robert Herlin: These are on our new pricing model which is a fixed fee basis where – which is a small fee upfront to, for installation and then if the customer likes the results, then they give us a paid-off royalty fee for that installation of that well and then that’s the end of it. The customer keeps a 100% of their benefits going forward. This new pricing model which we alluded to last I think conference call is intended to encourage customers to use the technology on wells in earlier life because the technology does have advantage of accelerating production. And so we think this will encourage people and that is the result that we’ve gotten. This is starting to be much more interest. End of Q&A
Operator: This concludes the question and answer session. I would now like to turn it back over to Mr. Bob Herlin.
Robert Herlin: Again, thanks to everyone for joining us. If you have any questions, please feel free to call us here at the office. Talk to Randy and talk to David or even reach me. Again thank you for joining with us and we will talk to you next quarter.
Operator: The conference has now concluded. Thank you for your attending today’s presentation. You may now disconnect.